Operator: Good afternoon. And welcome to Green Thumb’s Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the conclusion of formal remarks. [Operator Instructions] As a reminder, a live audio webcast of the call is available on the Investor Relations section of Green Thumb’s website and will be archived for replay. I would like to remind everyone that today’s call is being recorded. I will now turn the call over to Jennifer Dooley, Chief Strategy Officer. Please go ahead.
Jennifer Dooley: Thanks, Christine. Good afternoon. And welcome to Green Thumb’s second quarter 2020 earnings call. I am here today with Chairman, Founder and Chief Executive Officer, Ben Kovler; and Chief Financial Officer, Anthony Georgiadis. Today’s discussion and responses to questions may include forward-looking statements, which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. These risks and uncertainties are detailed in the company’s report filed with the United States Securities and Exchange Commission and Canadian Securities Regulators, including our quarterly report on Form 10-Q which we expect will be filed tomorrow. These reports, along with today’s earnings press release, can be found under the Investors section of our website. Green Thumb assumes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. Throughout the discussion, we will refer to non-GAAP financial measures, including EBITDA and adjusted operating EBITDA. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is included in our earnings press release and SEC and SEDAR filings. Please note all financial information is provided in U.S. dollars unless otherwise indicated. Thanks, everyone, and now, here’s Ben.
Ben Kovler: Good afternoon. And thank you for joining our second quarter earnings call. When we spoke in May we had high hopes at the worst of COVID-19 would be behind us by now. Unfortunately, as a nation we are far from being out of the woods. This crisis is the ultimate stress test for our community and any business. For Green Thumb the takeaway from our second quarter is the continued execution and our prudent capital allocation strategy continued to deliver strong topline and bottomline growth designed to create a long-term shareholder value. And I am proud that our team continues to execute on our strategic plan, while fulfilling commitments to all the stakeholders, especially through this challenging macro environment. It is a testament to the adaptability and resiliency of our entire team, the flexibility in our capital planning and strong fundamental consumer demand that we deliver is 16% quarter-over-quarter growth to $120 million of revenue, 39% adjusted operating EBITDA improvement and positive free cash flow from operations. The Green Thumb team is starting to move faster. Our first half 2020 revenue of $220 million and adjusted operating EBITDA of $60 million already outpaces our performance for the full year of 2019. These solid results come before capacity expansion projects and investments in infrastructure, which will continue to provide momentum. We remain confident in our business plans and the prospects for the future. Consumer demand for cannabis remained strong and the COVID crisis has accelerated its acceptance as a consumer staple. In our home State of Illinois, consumer spending on cannabis continues to increase absorbing all the supply entering the market. Industry cannabis sales are at an all-time high. July reached $94 million sales, a run rate of over $1 billion and we still believe there is major growth ahead. The momentum is building even in a challenging macro environment and we are well-positioned to capitalize on the opportunity. On our CPG business, we improved standardization and automation in our manufacturing and processing facilities for greater efficiency and product accessibility. These important measures optimized our production capabilities and cost structure setting us on the path to increase profitability as we scale. Growth sales of our branded portfolio grew 22% quarter-over-quarter, driven by expanded production output in Illinois and Pennsylvania. In July we completed our Ohio manufacturing facility and are now producing and distributing our brand portfolio and the state leading Rhythm and Incredibles. Ohio marks the 10th state in which our brands are produced and sold, and demonstrates the consistent execution of our plan to scale distribution. In the third quarter, we will ramp-up production and distribution by brands in Ohio and New Jersey. In Pennsylvania, additional production capacity in our Danville facility will start up for the end of the year. And in Illinois we nearing the Phase 2 completion of our second production facility in Oglesby. The scale and liability of our production operation infrastructure continues to strengthen. At the same time we remain committed to elevating the fundamentals of our brand portfolio by delivering products that create excitement with consumers. Here are few highlights. In June our Rhythm brand celebrated our second annual pride baked in and partnerships to raise awareness and support for the LGBTQ community and the pioneers who are instrumental in cannabis legalization. In July, we produced a redesign of Incredibles, our award winning edibles brand, which is beginning to roll out across the country. The redesign honors the origin story that created loyal brand fans over a decade ago and we are excited about the future of the credible edible. We continue to grow and evolve our brand portfolio based on the feedback from consumers and data from our stores. Our two highly complementary businesses strengthen our understanding of our consumers. What they want? How they want it and when and where they want it. So more we know, the better we are able to create products that consumers need and love. We feel very good about what’s ahead in our CPG business. There are still significant opportunities to expand the breadth and reach of our brand portfolio. On our Retail business, same-store sales exceeded 75% on a base of over six -- on base of 16 stores for the quarter. On a sequential basis comp sales were 80% on a base of 40 stores. More people are spending more money on legal cannabis, especially in Illinois and Pennsylvania, where we have established strong platforms to support our growth. We continue to optimize our presence in key markets, even in the face of a pandemic and social unrest, we opened six stores across Nevada, Ohio, Illinois and Pennsylvania in the second quarter and make nine stores year-to-date and 48 stores across 10 states. In response to COVID, our Retail team quickly ramped up delivering, implemented curbside pickup, launch an e-commerce platform, developed an online payment system and establish a support center to better serve our customers. We will continue to invest in our e-commerce platform to streamline the user experience and optimize our digital storefront. Finally, just last week we embarked on a unique opportunity to partner with Cookies, a cannabis lifestyle brand based out of California. We are going to open Cookies on the Strip by rebranding and converting our Essence store. Cookies is a compelling brand with a strong following and we are excited about the partnership. A brief update on Nevada and Massachusetts, as you may recall, both markets experienced partial closures in the first quarter and second quarter. In May, the temporary adult use ban was lifted in Massachusetts and Nevada reinstated in-store sales. Both remain high potential markets, and I am pleased to say, are on the rebound to pre-COVID levels. As a final thought, we are very fortunate to be operating in some of the most desirable markets in the country. These unprecedented times test the spirit of an organization and we have learned a lot. The first is resilience and adaptability are core strengths of the Green Thumb team. Our financial execution is a direct result of our focus on our strategy to distribute brands of scale, while remaining nimble through an ever changing environment. In turn, we have been able to provide our patients and customers with an uninterrupted access to products that support well-being. Our mission is to promote well-being through cannabis and will continue to be focused on building our brands and developing integrated retail shopping experience to support that in this ever changing environment. Second to keep learning is to keep moving forward with a purpose, advocacy for diversity and social justice has always been part of our DNA. So while we are head down executing on our inter-opened skilled labor, we are also actively engaged with our communities to promote fairness and equality. We are building out the corporate social responsibility function to ensure that giving back to our communities is a tangible part of everyday work life at Green Thumb. Efforts focused on four pillars including corporate social equity, work place diversity and inclusion, community engagement and environmental stewardship. Our team is now 1,900 strong. We have hired over 920 new teammates this year and as we continue to grow, our people team is working hard to make certain that our culture of respect and inclusiveness continues to thrive. We firmly believe that the key to our success is the success of all our stakeholders. With that, I will turn the call over to our Anthony to review our financial results for the second quarter.
Anthony Georgiadis: Thanks, Ben, and good afternoon, everyone. As we have just severed, we achieved record revenue and profitability in the second quarter, notwithstanding a macro environment that is anything but predictable. I want to thank our team for their relentless focus on execution and delivering strong results for all our stakeholders. Our operational execution combined with growth in our consumer demand once again created a one plus one equals three kind of quarter. Let’s dig into some of the stats. On the revenue front, we generated just shy of $120 million in net sales. This is up from approximately $103 million in Q1, representing 16% quarter-over-quarter growth. Year-to-date, we generated more revenue than all of last year. The key driver, robust sales across our entire geographic footprint led by Illinois and Pennsylvania. When we unpack our quarterly revenue, gross revenue for our consumer packaged goods business, CPG grew by $10 million or 22%, largely driven by strong performance in the two markets I have just mentioned. On the net basis, which accounts for intercompany revenue our growth approximated $5 million or 20%. On the Retail side revenue increased $12 million or 15%, driven by six new store openings and strong average tickets in Illinois, Pennsylvania and New Jersey. Regulatory driven softness in Massachusetts and Nevada adversely impacted this otherwise strong Retail performance. When assessing our CPG versus Retail revenue we saw the following. On a gross basis, our revenue split approximated 61% in Retail, 39% CPG. On a net basis 73% by 27%. This compares to the 68/32 gross and 74/26 net in Retail and CPG percentages reported in Q1. As a reminder, the difference between gross and net in intercompany revenue, which approximate $24 million in Q2 and $20 million in Q1. While estimating world’s relationship has had [ph] a continue to be difficult in the short-term, we are excited to see the impact our CapEx dollars will have on the split as we get closer to 2021. On the construction front, we continue to make steady progress on our production facility expansion. In July, we completed construction at our Toledo Processing Facility. We have already begun producing and shipping Rhythm and Incredibles products across Ohio. In Q3, we expect to complete our two Illinois and Pennsylvania expansion projects. All three facilities should become 100% operational in Q4 and will roughly double the company’s capacity in those markets. Given the robust demand both states are experiencing, the timing of their completion bodes well for shareholders. Turning to profitability the business continues to perform. In Q2 the company generated gross margins in excess of 53 points, 100 basis improvement over Q1. As I have previously stated, our intrinsic goal is to keep this very important metric above 50%. On the SG&A side, revenue continues to grow faster than expenses. On a gross basis, SG&A increased approximately $4 million to just under $50 million. Of that $50 million, approximately $19 million was G&A, stock-based comp and transaction and other non-recurring costs. The remaining $31 million is what we referred to internally as normalized operating costs and they compared favorably to the $30 million at normalized operating costs incurred in Q1. To summarize, Q2 revenue increase $17 million, while normalized operating costs increased $1 million. This is a textbook operating leverage that shows the true impact scale can have on our business. Other expenses for the quarter approximated $10 million, which primarily includes interest and warrant expense associated with our senior notes, as well as the net impact of marketing our strategic investment portfolio. Accounting for everything above, in Q2, the company generated $35 million in adjusted operating EBITDA with 30% of revenue, year-to-date that figure exceeded $60 million. When we continue to keep our heads down and let the scoreboard speak for itself, we acknowledge that this is a big win for our team and something we should all be proud of. Turning to our balance sheet, we continue to like our position. We ended the quarter with approximately $83 million in cash, up $11 million plus over Q1. In May, we also exercised our option to extend the maturity date of our senior notes to May of 2023. The business is generating positive cash flow and all capital projects remain fully funded. As we look ahead to 2021, the interest speaking [ph] to the same lens to determine which projects want the greatest dollars. One thing we haven’t touched on lately is our Public Float. As of today, greater than 70% of our shares are freely traded, representing well over 2 billion in Public Float. We like our progress here in providing our investor base with enough liquidity to allow market dynamics to function. In conclusion, we are pleased with our Q2 and year-to-date 2020 financial results. During our last call, I indicated that we would continue to invest in markets where we have edge, maintain our prudent approach to capital allocation and protect our team, customers and communities from COVID. Our stores today, both internally and externally remains the same with one nuance. So it’s not inside of our DNA and what got us here. Keep pressing after these walls, continue to optimize these situations as best we can and never stop learning from our mistakes. With now close to 2,000 team members, the Green Thumb family continues to gain momentum at this unique time in U.S. history. The walls of prohibition are weakening by the day. So stay tuned, keep that seatbelt on and keep enjoying the ride. Back to you, Ben.
Ben Kovler: Thanks, Anthony. I believe the take away from our second quarter is the continued execution and our prudent capital allocation strategy delivered strong topline and bottomline growth. Our focus on the fundamentals to build a strong business, execute on our strategic plan to hit our milestones and our commitments to all stakeholders that put us squarely on the path of creating long-term sustainable value for our shareholders. And while we are operating in uncertain times, we remain confident in the potential of our industry. As I mentioned on our last call, our thesis is proving out and it feels good to continue to do what we say we are going to do. We look forward to updating you all on the progress next quarter. I want to thank our team, our customers, partners and you our shareholders for your continued contribution and support of Green Thumb. Before heading to questions, I want to take a moment to acknowledge someone who was fundamental [Technical Difficulty] with us. Through his research and coverage of the space, analyst, Robert Fagan help to bring mainstream credibility and awareness of the cannabis opportunity. Robert was the first analyst to cover us after we went public over two years ago and I’d like to take a moment to acknowledge his passing and his contribution. We will miss you, Robert. Thanks, everyone. And with that, I will turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Matt McGinley from Needham & Company. Your line is open.
Matt McGinley: Thank you. My first question is on the Massachusetts and Nevada. You noted in the prepared remarks that both of those states were headwinds, but didn’t express how much of a headwind that was, and I guess, question also was should we expect any recovery from that in the third quarter and how much of a lift could that give you?
Ben Kovler: Thank you, Matt. Yeah. Appreciate it. As we mentioned, there was headwinds from regulatory structures from closings and changes to the operations in March and April that came out in May. So, if you look at the markets and we see businesses that essentially rebounded to pre-COVID level. We have opened two new stores in Nevada, since this has happened, both Essence stores and so without hesitant we those markets. We saw some impacts certainly in the second quarter, but we continue to execute.
Matt McGinley: And then on the CPG side of the business in the end of the third quarter, like I said, if I am looking at what happened with Retail and CPG into the second quarter. Looks like about two-thirds of the sequential net revenue growth was driven by Retail. And you noted in higher unit openings and higher productivity, but that would seem to be less of an impact in the third quarter than the second quarter, which would mean that to continue to grow rate CPG would have to step up the rate of growth and this is kind of a long question. But on the CPG side, I think, more of that capacity is coming online later in the quarter. So would you -- is there sufficient capacity online now that you would have revenue occurred earlier in the quarter or is it more of a later quarter things for the lower revenue overall, but that picks up again of course?
Anthony Georgiadis: Yeah. Hey. This is Anthony here. Good question. I think, I mean, we have seen, I mean, obviously, we are -- we should generate some revenue in the third quarter from the expansions that we just completed or that will complete. Toledo is turned on at this point. We portions of the Illinois expansion that is turned on and I think we will get a timing there in Pennsylvania, but a little early to say. But as we mentioned during kind of with prepared remarks, probably, the full benefit will be neared in the third quarter,
Matt McGinley: Okay. Thanks and confronts on a great quarter.
Ben Kovler: Thanks, Matt.
Operator: Your next question comes from line of Vivien Azer from Cowen. Your line is open.
Vivien Azer: Hi. Good afternoon. I was hoping to dig in on the gross margin, last few quarter, it looks like you guys are feeling pretty good about sustainably delivering north of 60%, but the sequential improvement is quite noteworthy in light of the comment that you made earlier, Ben, in your prepared remarks about some of the optimization work that you are doing. So I was just wondering if you could elaborate on your manufacturing efforts there? Thanks.
Anthony Georgiadis: Hey, Vivien, Anthony here. So let’s unpack that a little bit. Retail margins are relatively consistent. On the wholesale side, we are seeing greater utilization in Illinois and Pennsylvania in those facilities even before effectively the extensions that should come through in Q4 and that was a big driver of it and so those two markets the wholesale facilities in those markets did good job of preparing, the business generate additional kind of gross margins that float through the entire business despite relatively consistency on the Retail side.
Vivien Azer: Thanks, Anthony. I appreciate it. Just to follow-up on that point exactly. Were there that particular product lines where you were optimizing your utilization, I am just wondering whether some of those efforts will then be compounded positive mixture? Thanks.
Ben Kovler: Hey, Vivien. It’s Ben. Yeah. I would just say, to echoing what Anthony just said, it’s really a mix shift to more profitable markets as we get scale and leverage across these markets is there is opportunity on the gross margin line and then more of the business flows through the high margin sites and then within those sites to your question, which lines are producing the highest margin product since we optimized. There’s opportunity. But I think the driver to question over the last two, three quarters is really mix to higher margin sites versus within site mix.
Vivien Azer: Perfect. Okay. So clearly there is some runway, some opportunity there. Thanks very much for the time.
Ben Kovler: Sure. Thanks.
Operator: Your next question comes from line of Eric Des Lauriers from Craig-Hallum Capital. Your line is open.
Eric Des Lauriers: Hi. All right. Thanks for taking my question guys and congrats on yet another strong quarter from you.
Ben Kovler: Thanks, Eric.
Eric Des Lauriers: Just touch on the recently announced Cookies partnership in Nevada. Cookies is one of, if not the best brands out there, so congratulations. Can you give us some color on the genesis of that relationship? What are the shared values that kind of brought you guys together? And was this partnership focused only on Nevada or is the idea that kind of grow partnerships in traditional markets from here?
Ben Kovler: Yeah. Thanks, Eric. Yeah. We are very excited about the opportunity to partner with Cookies. And so, as you said, we have been in the business for a long time. So we are watching what people are doing and we believe that authentic brands develop a real relationship with consumers, so they can believe in the space and honest promise to deliver. And so we see that, you can see that with the crowds, you see that with the brand, you see with the following. And what better place is it to bring it in Vegas, like, a destination location thinking eventually tourism come back, it’s not a call on the macro environments. It will certainly takes us some time to get the solution and even defining it works really well. And so we are excited about the partnership as it remains our license, our revenue and we are going to watch and learn. The Las Vegas committed to the Nevada market. We see a lot of growth there. I think you see that the stat that they come out with strength there and we continue to open stores. So I am really excited about it.
Eric Des Lauriers: Okay. Great. And then just as a follow up on the brand side and more so on branded products. I want to ask about your longer term positioning. Baidu [ph] recently adopted Canada’s policies. They really accelerate the federal legalization timeline. I have noticed a shift in investors taking a longer term view of the industry and even thinking about the potential impact of interstate commerce down the road. Can you talk about how your strategy of distributing brand at scale and your experience in prioritizing third-party retail locations and sourcing flower from wholesale markets, how that positions you for a success in a post-federal legalization environment?
Ben Kovler: Sure. Good question. We really believe in the power of the brand and at the core, like you said, distributing brands at scale. So, taking the first mover advantage in building branded distribution networks across these states, say, the entire network east of the Mississippi, if you look at, mini markets within, and obviously, there’s other markets. We think is a compelling advantage through that distribution. We are developing relationships with the consumers that they are going to trust to as honest and continues to deliver that. We think we are set up for a lot of optionality on where it’s federal to your question, I think, it’s really more of the states situation, what’s happening in each states and how that’s going to unroll. But certainly the favorable wins in the federal government and so we are watching and actively participating in that.
Eric Des Lauriers: Okay. Great. Thanks again guys and congrats again on another great quarter.
Ben Kovler: Sure. Thanks, Eric.
Operator: Your next question comes from the line of Pablo Zuanic from Cantor Fitzgerald. Your line is open.
Pablo Zuanic: Thank you. Good afternoon. Just one question regarding New Jersey, do you have -- I mean do you have your starting partners from there. Do you have any is it be in midst of how regularization would play out, I mean how long will it take to really fleet the switch and where there you have the right to open more stores. And obviously some incumbent players in New Jersey, the Walmart store from [inaudible] that benefit from exclusivity right in very big regions within our competitors. But do you have any view sort of thoughts in terms of how the industry open job in a reg environment, any color would help? Thanks.
Ben Kovler: Sure. Thanks Pablo. Great question. I love New Jersey. Our priority market for us in terms of capital, we are seeing 9 million people and a multibillion dollar adult use market, question is when and how, a little bit better to your questions, so it will be on the ballot in November. We think it will pass. That’s not a -- not consensus view. We have store comparison, it does very well, we are working on satellite location and premise, we hope to open that by year end and our understanding is that, if it passes on the ballot initiative it will kick over for new rules and details of the program on role and I think everybody can learn from other states that have done this in terms of timing, structures, task who, how in order to put the switch quickly generate the jobs, generate the tax revenue and enroll in adult use program. Certainly supply is on everybody’s mind and I know all the operators are working hard to bring that supply to market, because it’s an underserved market on medical side at the moment.
Pablo Zuanic: And just one follow up, if I can, I think, it’s related to your prior question, but as you get more capacity coming on stream and as of course there’s more stores particularly in the U.S., Pennsylvania, how do you prioritize supply in your own stores versus supply in third-party stores and the argument is that, you might want to have some exclusivity, right? If your own brands selling everywhere, then why would people would go there -- why would people would slightly go to your Rise stores? But related to that and this is more I know anecdotal, but if I think about Philadelphia Metro area, there’s like 23 stores on the BA side, right? I visited your Rise store in King of Prussia on a weekend, not much traffic, the Keystone store around the corner, very, very active with people there and obviously you have great numbers in Pennsylvania nine stores. But I didn’t just understand two things, one what makes the store do so well versus another in the same location, example apparently Keystone versus your Rise store in King of Prussia. But also how do you handle as you get more capacity coming in, do you supply most of your own stores or do you allowed to 90% Pennsylvania stores and those exclusivity, just how do you think about it? Thank you.
Ben Kovler: Great. So I will answer that question. First, the core is distributing brand and scale, so that means getting the product in the hands of the consumer, and so, we want to know the product, when we think about distributing the product. It becomes an issue and supply is tight, when supply is not tight we want to win unique environment with selection and service. So that includes stocking and for many and in order to enable others that really a successful store that should have our brands, people should have Dogwalkers and you should have Incredibles, you should have Rhythm flower. It seems pretty obvious and essential for us, as this being unroll. To your question on what makes the store successful or not, anecdotally on a one-day visit it’s hard for me to comment. We really like Pennsylvania. We like our stores. We like our position and we got an amazing team, who are really working hard there and we see our products in as many stores as we have capacity for essentially. And which is why we continue to scale as you heard in the prepared remarks, but we will see Pennsylvania come on towards the end of this year and even next year with more products. We are bombarded with requests for more Rhythm flower, so give the people what they want and we are working hard to deliver that.
Pablo Zuanic: Okay. Got it. Thank you.
Operator: Your next question comes from line of Michael Lavery from Piper Sandler. Your line is open.
Michael Lavery: Good afternoon. Thank you. Talk a little bit about your appetite for M&A. I know you have proven yourself through disciple there but just some of your latest thinking there and how is that all that may change, federal laws do change but that influence the ability to grow the capital markets in a more productive way?
Ben Kovler: So we are always looking what’s out there, we have history we will be able to execute on deals not close deals and also be really prudent and careful with shareholders capital whether it is in the form of cash or equity. So clearly everything is on the table that makes sense. We have a meeting -- this is an amazing platform right now that we are sitting on that the deploying capital was in. It set a very high mark to do something else, but we control all the variables within the business. So we can understand what the future of that capital deployment is. That said, the environment changes. There is other businesses, this thing can become accretive. There is the price of currency. There is the state of mind of sellers and sort of the evolution of the industry. So we are very active watching all the time, but we really love our business, so it’s a pretty high mark as we think about allocating shareholder capital for something like that. And…
Michael Lavery: Okay. Capital market.
Ben Kovler: Sorry, just to follow up, I think you asked about the capital markets.
Michael Lavery: Yeah.
Ben Kovler: We have seen --all capital markets will this is been early several times in cycles and we are watching it. And certainly people are starting to wake up. It’s still the same thing here, right? The U.S. parameters opportunity is massively misunderstood through the decade of 20% annual growth coming from $15 billion industry going to $80 billion. That’s massive. It can create a lot of attention. And it creates are very real. When you think about these are in cannabis business and that industry has evolved as people understand what the size and opportunity. The opportunities is here in the U.S. and so it’s not yet been on the capital market exactly how it was unclear which way or not the businesses are strong enough there’s enough free cash flow here. We are employing that people. States are now working up to generate the tax revenue. So we think it’s really only a matter of time for things to continue to open up which essential needs are cost of capital continuous to go down.
Michael Lavery: Thank you. That’s really helpful color. And then just a quick follow up on automation. I know you expressed the mix lift that’s helping gross margins, but you also touched on some automations that you have put you also touched on some automation that you have put in. How expensive could that be, could you elaborate a little bit, is it more just like sort of packaging lines, these are some good upside from that, is it a little bit more modest benefit, how should we just think about that?
Ben Kovler: Yeah. It’s something we spent a lot of time on. We are looking to build large scale production and continuous products. And so as you think the pricing structure, you think about the gross marginal cost per incremental unit, it becomes interesting. So I think we were talking, we have nearly spend a lot of time on internally.
Michael Lavery: Okay. Great. Thank you very much.
Operator: Your next question comes from the line of Andrew Carter from Stifel JMP. Your line is open.
Andrew Carter: Thanks for taking my question and congratulations on the outstanding quarter guys. I’d like also to maybe see if I can get a little bit of color of what things are happening on the ground. For example in Illinois at the beginning of Rick, we know that there were a lot of restrictions involved in purchasing limits online reservations to be able to purchase cannabis and has any of that’s been removed at all, has there been any relaxation of those purchasing restrictions?
Ben Kovler: I would say, so thank Andrew this is Ben. As we here and here and broadly yes, so just we will see the numbers, right. So December was a $25 million industry in Illinois, I think January was around $70 million and it’s grown now $94 million. Now that new store open, new stores open. So we have gone from many of the year about $60 million to maybe in the mid-$70s. Now, so there continues to be tight supply into monster demand that absorbs it but with more offerings. So I would say those restrictions are lifted but that’s on -- many stores some days are open and some days aren’t. And certainly in the city of Chicago some of the COVID restrictions has limited traffic I would say.
Andrew Carter: That’s great color. And definitely suggest further growth ahead once capacity comes online with you and other players. And a follow-up question, maybe touching a little bit on Nevada. The tax results came out for the month of May and we saw some very strong rebounding going from $40 million to $50 million in sales it seems on a monthly basis. Just curious if you could get some color on that, what is that really being driven by, are we seeing that majority coming from locals, to which I know that you are focused on or are tourists really coming back. Any color on that and perhaps what are they buying, are they focused on the value segment or has purchasing patterns not really changed all that much.
Anthony Georgiadis: Sure. Anthony here. So I think Nevada is interesting because it exactly happened overnight is shut down the store purchases and limit to delivery. The capacity of the delivery was nowhere near and ready to handle kind of the demand even in the local kind of consumers in the store, right. So for the first time, call it, few weeks, obviously it’s pretty challenging now, obviously that I think we are acting as quickly as we could, and you saw that start to expand, now that folks can go back in and shop, call it in store, curbside pickup and few of the other options. The market came back a bit. I think it’s hard to say kind of where the normalized level is without kind of tourism, just because we haven’t had enough time to really see that unfold. We have seen that the Nevada consumers as a whole consume cannabis and it’s a vibrant market even without kind of the tourist business present there in pre-COVID. But, I think, we will have better insight into that when we get the gene numbers and then we divide and we will see kind of where to normalize the rubble shakes up.
Andrew Carter: Thanks for taking my questions and congrats again on the impressive results.
Ben Kovler: Thanks, Andrew
Operator: Your next question comes from the line of Graeme Kreindler from Eight Captial. Your line is open.
Graeme Kreindler: Hi. Good afternoon. Thank you for taking my questions here. I wanted to follow up, I appreciate the commentary on all the developments happening in Illinois and Pennsylvania and you discussed New Jersey a bit earlier in the call. I was just wondering what the thoughts are internally, I know there’s speculation about New Jersey’s ballot initiatives and the potential domino effect it could have regarding states like New York, Connecticut, Pennsylvania, et cetera. So, as you are monitoring that situation scaling up in New Jersey, how are you thinking about potentially investing further in some of those other markets that I mentioned here? Thank you.
Ben Kovler: Sure. Thanks, Graeme. It’s Ben. Well, we think New Jersey -- we know New Jersey is on the ballot in November, we just think it’s going to pass. We know there’s monstrous demand. We have a neat position in the tri-state area of New Jersey, New York and Connecticut, we understand the market in Massachusetts and we are watching what’s happening. So, again, it’s not if, it’s when and exactly how so it’s always a competition on dollars and capital allocation. We love the New Jersey market and we know it’s going there and we want to put dollars there and create product and get our brands out folks. I think the state has set up well for what’s ahead. We think the same thing for Connecticut and I think the same thing for New York, each have a little bit of the different stages and that’s Anthony mentioned Pennsylvania or Maryland or other states in New England frankly. So constantly trying to optimize the capital allocation game based on the facts on the Board at the moment knowing where we have first mover protected market position and everything we want from these other states and by the way, the states are going to learn from what happens in Illinois, right? I just saw something like a $60-plus million in Illinois tax revenue here in the beginning of the year, that’s material and jobs, et cetera, et cetera. So, we are excited about it. It’s hard to exactly get how those dominos fall. But we believe in -- next year, three years to five years, you are going to see hundreds and millions of dollars or billion dollars of tax revenue combined east of Mississippi easily.
Graeme Kreindler: Okay. That’s great. I appreciate the color there. Then, just as a quick follow-up, lots of detail provided on from the CPG side of things expansion projects into the remainder of the year. You mentioned earlier on the call you are looking to another retail location in New Jersey in a remainder of year, I was just wondering if there’s any states that you could share with us where you are looking to potentially add a location again in 2020 timeframe?
Ben Kovler: So, the question where we are opening new stores?
Graeme Kreindler: Yeah.
Ben Kovler: Yeah.
Ben Kovler: Yeah. It’s a little tough exactly be precise the timing given COVID and given how local, municipalities and locals are handling, approvals and permits and building out, but we maintain activity there. So, yeah, we hope New Jersey by the end of the year, New Jersey by the end of the year, we have been working for a while in California I think that could be extended a little bit just with some issues, we continue to open Pennsylvania, Florida, we continue to just throughout the portfolio you know no change really to the plans as they have been.
Graeme Kreindler: Okay. Appreciate it. Thank you very much.
Ben Kovler: Sure.
Operator: Your next question comes from line as Matt Bottomley from Canaccord Genuity. Your line is open.
Matt Bottomley: Good evening everyone. Thanks for taking the questions. Congrats on a fantastic quarter here. Just wondering if we can take a bit of a step back and look at a higher level, I know it’s hard in the sector given everything state-by-state, but we have seen a number of strong beats now in this Q2 reporting season and you know nothing to take from you guys, you guys are probably the strongest of the lot so far. But we have heard you know anecdotes between stimulus checks and you know maybe some stockpiling you know given some states where there’s some fear of potential shutdowns which seem to be dissipating. Is there any commentary you can give us as why this quarter in particular has been so strong for the sector overall and then how that’s looking into Q3.
Ben Kovler: Sure. Thank you, Matt. I appreciate that. Working hard every day to continue to deliver -- as basic as it sounds, I would say, like, I said in the prepared remarks there continuous to me monstrous demand for the product and continued acceptance and availability. So we are watching and if you step back, the U.S. legal industry putting up a number in June over $1.5 billion, right? That’s a record coming out of January when it was $1.1 billion. So you see monstrous demand and execution of legal regulated cannabis across the US and within each market we see monstrous growth. So Pennsylvania is a new situation, New Jersey, Illinois, even looking at Colorado, quote-unquote, mature market and same state sales which seen as the same-store sales with the same state sales of monstrous grow, probably, $200 million a month in both the mature to market. And so us, there is no surprise here. As I said continued acceptance is a consumer staple, we do not see any stockpiling, in fact it is early just here because you see trees increase, but we see monsters demand continue to second time see higher tickets in different traffic flows based on inter states in visual dynamics. But that’s a core more people are shopping legally for cannabis and they are spending more money.
Matt Bottomley: Great. Well said. And then a follow-up just relates to the two markets that seem to have been -- and there’s been sort of an outsized element to the growth here in Illinois and Pennsylvania which you guys are doing very well, so just sort of a two part and for each of those markets. For Illinois, can you comment on if there’s been any updates on potential of the new licensing -- licenses that are in queue, I know that’s been delayed because of COVID and if that process has restarted or there’s any sort of indication that’s restarting? And then second in Pennsylvania very supply constrained market, is there any element to your rollout where you have to kind of pare back new store opening due to supply or has your cultivation expansion really mitigated that?
Ben Kovler: Sure. Great questions. Happy to talk about both of those markets. Really the next chapter for Illinois is the issuance of 75 new dispensary licenses, which hopefully and largely we should build social equity applications. We are excited about how we think that’s happening in September which is obviously very soon. We have done a lot in the lease program, we will pivot over the incubation program enabling opportunity really for folks hopefully that have been prior to an opportunity whether it’s through the warrant drugs or other things that have happened and I think it’s going be an unbelievable success story for Illinois as we enabled new entrepreneurs. So I think that comes in September. You see operators continue to open stores. We have eight open stores with two more to go. But we are really focused on total equity licenses and making sure that that’s a successful program that includes making sure that our sites, making sure that our supply, making sure this works well, I think it’s going to be a banner for the state and also for other states who are watching us. Your comment on Pennsylvania, I would say, it’s a little less supply constraint in a market like Illinois which is very strong. There’s no way around it. I think you see it from the downstate starting to at least a little more data. And the supply is not impacting on new store opening schedule there, continue to go prudently there is always municipality inspection, construction, supply chain things whether it’s steel or other things that are just a little hiccups in the chain. But in North America, we will continue to open there with more stores in the pipeline that are continuing to do well, and obviously, you can visit any of those stores in Pennsylvania.
Matt Bottomley: But relating Canadian revenue.
Ben Kovler: Sorry. I think so.
Matt Bottomley: [Inaudible]
Ben Kovler: Once we are in the state, we can handle it.
Matt Bottomley: Okay. Thank you.
Operator: Your next question comes from the line of Scott Fortune from Roth Capital Partner. Your line is open.
Scott Fortune: Good afternoon. Congrats on a great quarter again. Real quick Ben and maybe some of limited markets in the license markets, are you seeing any product shift down to kind of the value side of things versus the premium or kind of mainstream how is like the consumer shifting here in this environment currently?
Ben Kovler: Sure. Thanks Scott. We see continued acceptance product of the branded product and people like value oriented products, right, especially when there’s economic headwinds, whether it’s job uncertainty or otherwise and especially taking operating system offering as a value line. So there’s only interesting things are a little cheaper, but it’s premature in some of the markets, each markets are a little bit different. To really analysis to deeply what’s going in the supply containing market is growing, really double-digit sometimes monthly. So care not to view in that. But they are safe for consumption first of all and we can watch in detail what’s happening at the register and see that there is interest in value products that delivers the brand for the buck and there’s interest interesting premium brand products that delivers the brand for the buck. So that’s -- that consistent relationship that the brand has with the consumer.
Scott Fortune: Okay. Thanks for that color. And then real quickly, you haven’t mentioned Florida, I know you pre-allocated away from there a little bit but kind of just step us through in that sense of growth opportunity in Florida. What you are looking for and to kind of continue to accelerate that kind of that market.
Ben Kovler: Yeah. Florida, we have another store coming here as soon. We love the Florida market, monsters growth, sophisticated operators, but mass adoption of the products, look at the patient growth there, look at the consumption going on even year-to-date and we have heard recently these big growth numbers. An attracted place for capital, we continue to look at some of the other markets that will give us a little more for the first mover. We think the first mover advantage gives an edge, thinks to get that back. But this is a monster growth market of 20 million people with there is mass acceptance but it still doesn’t even sell edibles, so it’s sometimes been very real and we are watching it.
Scott Fortune: Okay. Thanks.
Operator: Your next question comes from the line of Glenn Mattson from Ladenburg. Your line is open.
Glenn Mattson: Hi. Thanks for taking the question and congrats on the quarter. So just curious you mentioned the leverage in the model sequentially you pointed out how efficient you are. I am just curious how to think about that going forward as far as -- going forward more store openings and things like that and is there some costs that are may be being pushed out a little bit and there will be catch-up period or is this some piece that which you can continue
Anthony Georgiadis: Hey, Glenn. Anthony here. It’s a good question. Look the business continues to grow at a robust pace. I can tell you right now our liquidity is very active, [inaudible] is probably a better term to describe kind of what they are working on in terms of the number of hires that we try to ramp up across the business. But I mean, look at the same time the topline continues to grow at a rapid pace as well. So it’s totally scientifically it is hard to say, something we are watching closely, but the reality is we adopt this model down pretty well, particularly on the regional side of the business. We know what the stores cost it out. We know the working capital says. We know the kind of the expected operational burn before it comes, the cash flow breakeven and then positive. And then on the wholesale side, it’s something that you can easily kind of underwrite. So the place where we are kind of working aggressively, it’s continuing to grow infrastructure here at corporate to support the growth and so there will probably be some lumpiness kind of here and there in the next few quarters but we expect that this will continue to drive the topline. We should continue to see nice operating leverage in the business.
Glenn Mattson: Okay. Great. Thanks for that color most questions have been asked but real quick just on Massachusetts I am trying to remember your status update on -- it was very Boston then you guys were looking to get open, just update there?
Ben Kovler: The update is still working hard to get it open.
Glenn Mattson: Okay. And is there like any upcoming regulatory meetings or anything that’s that you need to get through or anything or…
Ben Kovler: Yeah. Over to most of community as we just engaging dialogs with the local community and then move towards inspection as we see.
Glenn Mattson: Okay. All right. Great. Thanks for the questions.
Operator: Your next question comes from the line of Russell Stanley from Beacon Securities. Your line is open.
Russell Stanley: Good afternoon and congrats on the quarter. My first question, I just wanted to come back to Nevada and understanding your earlier comments but you will have I believe six remaining dispensary licenses there that you can develop. I am just wondering how you are thinking about fee opening of those stores given those -- there is a pace reopening of the market and in the macro environment in that state?
Ben Kovler: Sure. Thanks, Russ. Yeah. Two-thirds also we are watching the market, which we see a rebound and we continue to execute on the strategy and that’s involve location and opening. And then walking us changing I would say the environment welcomes the location maybe most sense. So it’s always -- so it’s again capital allocation of where the best returns are for shareholders. The market is strong, $50 million to $60 plus million a month. We like the footprint now seven open stores I believe and continuing to invest in the market.
Russell Stanley: Great. And maybe kind of follow-up with the question around -- around Toledo. I understanding its early days, it’s just opening last month. But wondering if you can share I guess any numbers around how many dispensaries are you are selling into on wholesale basis there now?
Ben Kovler: Yeah. So low, I mean, early deliveries and reorders. We have great team out there who are using the product, going out plan as we enroll here in the back half of the year.
Russell Stanley: Great. That’s all for me. Thanks for the color.
Ben Kovler: Sure. Thanks, Russ.
Operator: Your next question comes from the line of Mike Hickey from Benchmark. Your line is open.
Mike Hickey: Hi. Thanks, guys. Thanks for squeezing me in, Ben, Anthony. Congrats on the quarter. Just curious on retail licensing performance you still have 99 or 100 licenses. You obviously ended the quarter with 48, you open 6 stores in credibly complex and difficult quarter I imagine, so congrats there. But are you still comfortable, I guess, with that level of backlog on the licensing front, are you still motivated now. Can you maybe expand on that? And obviously, you have some wait and see are we turn areas like more than 10 to 12 licenses and then I will follow-up
Anthony Georgiadis: Hey, Mike. Anthony here. Yeah. I think one of the tricky parts about that, that as I just mentioned is, that includes which at this point given the kind of sunset on the number of stores we are allowed to open, so probably less relevant today. We are constantly looking at the number of licenses that we have and we allowed to open and that’s really part of the capital allocation discussions that we have on a weekly basis here. So I would say just take it market by market, but that’s that kind of an assumption on Florida, which now is effects has been the least.
Mike Hickey: Interesting. Okay. I guess, the other question, you noted sort of overall strength in states, you noted Colorado, which obviously is a very competitive market and also considered mature is growing strongly? And I guess, you also had a lot of success here in terms of creating a brand and you guys can even get those in community states as possible now that you have some made to it. So that changed your view at all, I guess how limited the licensing states need to be for you to consider inventory? Thank you.
Ben Kovler: Sure. This is Ben, Mike. And I think the short answer is no. I was talking about Pablo, just show strength of accepting the core matured market, which was not that mature the way to go. Our capital is best allocate in legalized markets where we are first mover to take large market share within our brands and new consumers, early medical and then as also adult use. Same play book as always, so no change there, but it is unique kinds of numbers that are coming out of big markets. US doing over $1.5 billion in a month that regulated cannabis sales is a big deal. So we see that strength around the country.
Mike Hickey: All right, guys. Thank you. Good luck.
Ben Kovler: Sure. Thanks, Mike.
Operator: Your next question comes from the line of Andrew Semple from Echelon Partners. Your line is open.
Andrew Semple: Hi there and congrats on the quarter.
Ben Kovler: Hi, Andrew.
Andrew Semple: Just wanted to -- hi. Just wanted to focus on Nevada here, could you potentially comment on how order fulfillments has played out in that state, now what is the uptake Ben for in store sales once sales were allowed to resume and how has that been trending kind of post the quarter?
Ben Kovler: Sure. I can take it Andrew. So the way the regulatory changes in our stores more in-store with all delivery, system kind of jam by kind of move the entire delivery business through the COVID crisis and then slowly opened up with limited in store capacity and then social distance capacity that really functions. People are coming in the store. I did not -- I don’t have in front of me, but the delivery business while it was up and now we have it running, it not leading major market share for our business in Nevada, the in-store transactions with the clientele continue to play for us.
Andrew Semple: Okay. That’s helpful. Just switching gears, you recent agreement with Cookies, it looks like a solid brand partner to bring on there. I am just wondering if you had conducted any small scale trials or if you had any data points we could grab on to as to the expected uptick of the Cookies brand in Nevada and what you are looking for there? Do you see more value in the rebranding of the store on the Strip or in having the Cookies products across your entire portfolio stores there and thanks for that.
Ben Kovler: Sure. I think it’s a win-win. I think the best data point is to take a look at what happened to the other Cookie stores around the countries and the one we are following. So now you have a must visit location in Las Vegas that Cookies products, at Cookies on Strip where you have celebrity attraction, authentic musical roots that appeals to a very specific consumer that is loyal to this brand. So I think the best data points are to watch some of the other opening and to watch the crowd enthusiasm, social distance lines and excitement around high quality product.
Andrew Semple: Appreciate that. Thanks for your comments Ben.
Ben Kovler: Sure. Thanks Andrew.
Operator: Your next question comes from the line of Aaron Grey from Alliance Global. Your line is open.
Aaron Grey: Hi. Good evening. Thanks for the questions and congrats on the quarter. The first question for me is kind of around person trends kind of seen during the quarter. We have seen a number of your peers kind of call out a higher basket account that you guys did put it in your PR, your higher foot traffic and baskets. So just wanted to kind of quantify that a little bit and how much are back to monitoring during the quarter sequentially, that would be helpful? Thanks.
Ben Kovler: Thanks, Aaron. This is Ben. Having break down the exact traffic in baskets, what we saw was right with COVID, as has been widely discussed with much bigger visits and much bigger baskets and we have seen the bigger basket remain not as high as before but higher than previous and not the size of the peak but settled down. But what dominates within basket and traffic is traffic for us particularly with the kind of growth in the stores, right? 75% plus same store sales on a real fleet and then high to mid single-digit sequential growth on a base of 40 stores, so something is going on there, but it’s really more throughput in each box for us.
Aaron Grey: Great. Thanks for the color there. And then just one more just kind of hanging on those I talked about in Nevada between delivery cash shifting back to brick-and-mortar, I wanted ask a broader question in terms of we start kind of shift to omnichannel, with pick up in store, as well as delivery amid COVID, we think about the long-term potential impact of an acceleration of common channel. Do you feel like that you send in Nevada that broadly across the market shipping back to brick-and-mortar as these states open back up or just kind of the long-term impact of the potential purchasing habits of consumers would be helpful? Thanks.
Ben Kovler: Sure. I mean I understand to take, I think, you have seen the current macro environment and the COVID crisis involved quickly consumer habits trend in relationships with the product they buy, who they buy from, how they buy it and cannabis is immune to that. So developing the relationship with the consumer via the digital storefront and how they interact but at the store and the product, how they build the basket, how they pay for it, where they pick it up and how they interact with that becomes part of our brand. So it’s nothing new, I will just say it’s continued acceleration and so we are really investing in loyalty program, just various kinds of things to understand who the consumer is and meet them where they are. So as you mentioned omnichannel, et cetera. At the same time playing in 10 different states and 10 different kinds of rules and being sure that we follow those carefully.
Aaron Grey: All right. Great. Thanks for the color
Operator: The next question comes from the line of Matt Bottomley from Canaccord Genuity. Your line is open.
Matt Bottomley: Yeah. Thanks. Just a quick follow up from my perspective, there’s been a metric over the last number of quarters that you guys have been selling into about 700 stores and given that your revenues already are exceeding what you did in 2019 and your branded sales grew by about 22% this quarter are you able to update that metric or are you over a 1,000 yet, is this just more breadth into existing stores, just any sort of color on that would be helpful?
Ben Kovler: Sure, Matt. I would say the latter, more breadth in the existing stores, there are new stores in the platform, but there are not 500 new stores opening in our distribution network for us to get our products and if we were we would get our products there. And frankly by the time there are, we should have scaled production in order to get products there. But that’s not happening at the moment. The growth is through -- throughput.
Matt Bottomley: Got it. Thank you.
Ben Kovler: Sure
Operator: There are no further questions at this time. I turn the call back over to Ben Kovler for closing remarks.
Ben Kovler: Sure. Thank you all for joining us. Look forward to updating you on our third quarter, which will be the November after what promises to be a very interesting election. Thank you all. Talk soon.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.